Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Wausau Paper 2013 Fourth Quarter and Yearend Results Call. At this time, all participants are in a listen-only mode. Later, there will be an opportunity for questions. (Operator Instructions) As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Mr. Perry Grueber, Director of Investor Relations. Please go ahead.
Perry Grueber: Thank you, Michelle. Good morning, everyone. Thank you for joining us today. I’m pleased to be here today with Hank Newell, our President and Chief Executive Officer; and Sherri Lemmer, our Chief Financial Officer. After our prepared remarks we look forward to answering your questions. This call is being webcast and slides are provided to summarize key elements of our presentation. Your webcast viewer should allow you to download these slides and yesterday’s earnings release, both of which are also available from the Investors section of our website at wausaupaper.com. Statements made during this presentation, other than those that refer to past results, are forward-looking statements made pursuant to the Safe Harbor provisions of the Securities Reform Act of 1995. Such statements, including those concerning expected performance, future earnings or dividends, involve risks and uncertainties that may cause results to differ materially from the expectations set forth during this discussion. Among other things, these risks and uncertainties include the risks and assumptions described in Item 1A and Item 7 of the company’s Form 10-K for the year ended December 31, 2012. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Additionally, our presentation refers to certain non-GAAP financial measures. A reconciliation of these measures to GAAP is provided in the appendix of this presentation. I will now turn the call over to Hank Newell, our President and Chief Executive Officer. Hank?
Henry C. Newell: Thank you Perry. Good morning. 2013 was a year of profound change and progress for Wausau Paper. We completed the announced strategic repositioning of our company and today we are a company 100% focused on Tissue. We continue to ramp up our new towel and tissue machine and converting capabilities and made significant progress during the fourth quarter, and that will continue – that will contribute to continued improvement in 2014. During the second half of 2013 we introduced 20 new 100% recycled premium Green Seal products under our DublNature brands in the away-from-home market. We delivered strong full-year growth that was two to three times the market, and in the second half following our successful launch of DublNature grew at four to five times the market. And we delivered expanding EBITDA and EBITDA margins in each quarter since the major outrage in the first quarter of 2013 which convert our new towel and tissue machine to the ATMOS technology. Following the successful divestiture of our paper business in June of last year, we executed a major realignment and reduction in overall salaried staffing to right-size the organization for our new scale, resulting in an approximately 20% reduction. Following the divestiture we also made rapid progress against our targeted restructuring cost reduction of $13 million, achieving a $9 million run rate at year-end with the balance expected by mid-year 2014. Last year, following the completion of the largest capital expansion in our company history, we announced the capital allocation policy that commits to returning approximately 50% of free cash flow to our shareholders. And in 2013, our share price was up approximately 46%. Focusing in on the fourth quarter, we had record fourth quarter sales and all-time record case volume that was 7.4% of our fourth quarter 2012 and exceeded our targeted growth of 6%. This put second half growth at 7.4% or four times to five times the market growth. DublNature was fully launched during the third quarter and we saw a continued strong momentum that resulted in overall strategic product growth of 5.2% with DublNature up approximately 33% in the second half. We took an unplanned outage on the new Harrodsburg paper machine at the end of October and came up in ATMOS mode producing premium grades. In November, the team set a range of new daily production records reflecting the benefits of the outage. Our converting operations continue to work through paper produced early in startup which impacted efficiency, but efficiency is improving as we begin to convert paper produced in November. Overall, operations in the quarter were essentially on forecast despite the outage, and as a result are well positioned to deliver significant performance improvement in 2014. EBITDA and EBITDA margins continued to expand achieving 12.7% in the fourth quarter, despite seeing price pressure in our Support products. EBITDA performance in the quarter was impacted by two factors not reflected in our guidance. First, we achieved higher than expected volume growth in the fourth quarter which resulted in year-to-date adjustments for volume-related, incentives and rebates. Second, we incurred higher proxy and advisory professional fees absent these factors our business would have delivered $13 million to $14 million of EBITDA. Sherri will now cover our financial performance for the quarter and yearend in more detail and discuss our outlook. Sherri?
Sherri L. Lemmer: Thank you Hank. Good morning. In the fourth quarter of 2013 as Hank mentioned, we exceeded our growth target of 6%, the machine was 7.4% quarter-over-quarter case volume growth. The 4,393,000 cases of towel and tissue products shipped in the fourth quarter of 2013 represents a record over any quarter in the company’s history. Our strategic mix improved to 49.2% from the mix in the third quarter of 48.4% with 5.2% case volume growth in our Strategic product categories. For the second half of 2013, following the launch of our DublNature product portfolio, our overall growth was 7.4%, compared to 1.3% in the first half of the year. With Strategic product categories up 6.2% following the first half decline of 1.2%. For the full year we achieved our volume growth target of 4% to 5%, finishing with year-over-year case growth of 4.4%. In net sales, we achieved our fourth quarter record of $91.1 million representing an increase of 4.8% over the prior year’s fourth quarter of $87 million. 2013 second half net sales improved 5.2% over the same period in 2012 and for the full year net sales was $348.6 million, compared to $344.2 million in 2012. Compared to the third quarter of 2013, the combination of improved strategic mix and higher than expected growth favorably impacted our financial performance by approximately $800,000 in the fourth quarter. However, competitive pricing and our Support product categories combined with the additional customer earned rebates due to higher than forecasted sales volume and therefore resulting in an unfavorable yearend adjustment negatively impacted the quarter-over-quarter comparison by about $1.4 million. Similar to the impact of customer earned rebates, the year-to-date adjustment on volume-related sales incentives due to higher growth and consequently achievement of performance thresholds unfavorably impacted fourth quarter 2013 results by approximately $700,000. Improved operational performance at our manufacturing sites and in our converting operations favorably benefited fourth quarter financial results by approximately $1.9 million, versus the third quarter, despite the unplanned maintenance outage on our new towel and tissue machine in November. We also experienced proxy and advisory professional fees that were about $600,000 higher than expected for the fourth quarter. And general and administrative expenses were favorable approximately $1 million over the third quarter of 2013. The year-to-date adjustments for rebate and sales incentive programs as well as additional professional fees related to proxy and advisory services, somewhat mapped the performance level of our core business in the fourth quarter. Absent those components pro forma fourth quarter adjusted EBITDA was in the range of $13 million to $14 million. When comparing 2013 and 2012 earnings per share results, is important to understand the magnitude of change that occurred in particular, as it relates to the new machine in Harrodsburg and the impacts of the expansion project. Comparing the fourth quarter of this year with the same quarter in 2012, excluding special items such as the credit associated with the Natural Gas Transportation Contract at our former manufacturing facility and charges for a settlement recorded for our Defined Benefit Pension Plans, as well as an income tax valuation allowance against our cellulosic biofuels credit carryforward we reported an adjusted net loss of $300,000 or breakeven earnings per share. In the fourth quarter 2012 adjusted net earnings were $2.4 million or $0.05 per share. Prior year adjustments to reported net earnings included expense related to the new machine construction and charges for settlements in our Defined Benefit Pension Plans. Year-over-year quarterly depreciation expense has increased about $1.8 million or $1.2 million on an after-tax basis. And due to reduced capitalized interest as a result of the new machine starting up, interest expense has increased approximately $1 million or about $600,000 on an after-tax basis. The combination of depreciation and interest accounts for an unfavorable impact of approximately $0.05 per share to 2013 fourth quarter adjusted net earnings compared to the same period in the prior year. For the full year the unfavorable impact of these two items was approximately $0.19 per share. In the fourth quarter we again saw improvement as we progressed along the ramp-up curve with production capabilities and new product introductions, costs that exerted pressure on bottom-line results in the first half of 2013. For the full year this resulted in an unfavorable year-over-year impact of approximately $0.10 per share. Well volume in the fourth quarter was strong, there was an overall decline in average net selling price, which is attributable to continued strong growth in our Support categories, which exceeded the prior year fourth quarter by nearly 10%. Average net selling price negatively impacted adjusted net earnings per share in the quarter-over-quarter comparison by approximately $0.05 while the impact of case growth positively contributed approximately $0.03 per share. Year-to-date, the unfavorable impact of average net selling price compared to the prior year was offset somewhat by case volume growth and in total was approximately $0.14 per share unfavorable. Improvements in our overall cost structure as a result of targeted efforts were realized and these improvements contributed to the quarterly and year-over-year improvement of $0.01 and $0.09 per share respectively. From a debt perspective over 2013, we have reduced total debt from approximately $196 million at the beginning of the year, to $150 million, with yearend 2013 net debt at approximately $130 million. Our structure is comprised of a Private Note Shelf Agreement for $200 million that permits issuances under its terms until July 2014 and a revolving credit facility. During the fourth quarter of 2013 we reduced the commitment under the revolving facility from $100 million to $80 million, and extended the facility from June of 2014 to June of 2015. Both of these agreements are unsecured and provide a cost effective and flexible structure. At December 31, 2013 the $150 million of total long-term debt reflects the senior notes currently outstanding under our Private Note Shelf Agreement, the earliest maturity of senior notes from this program in June 30, 2016. Including the bank fees associated with our currently undrawn credit facility, our weighted average cost of debt is approximately 5.1%. A closer look at how we currently view the first half of 2014 and impacts to overall financial performances presented here. As we have described previously, when moving from our level of performance in the fourth quarter of 2013, it is important to understand that the first quarter will be pressured by normal, seasonal demand weakness experienced in the away-from-home tissue business. Historically, the first quarter of the year is the lowest sales demand period. In addition, we are experiencing an additional cost-related to energy due to the protected cold weather and we will have an unfavorable impact as a result of product trials on the new Aritsan family of premium 100% recycled products offerings. Those new products will be launched in the second quarter of 2014. We had originally anticipated in the maintenance outage in the second quarter of this year, after evaluating the aspects of the outage and other infrastructure improvements we plan to make in 2014, the timing of the outage has been moved and is now expected to occur in the third quarter of this year. The costs related to the outage and other infrastructure improvements have been included in our full-year guidance. Other elements impacting both the first and the second quarters, still the expecting timing are more difficult to predict, is the impact of wastepaper, competitive pricing pressure in our Support product categories, and cost related to Proxy and Advisory services. Moving forward to the fourth quarter of 2014, we expect to once again deliver on our expected growth target and sales volume at measuring cases, and approve our strategic mix with the continued momentum of the products introduced in 2013 and additional plant product introduction including new DublNature products, the Artisan brand family at high-end premium products and several new proprietary dispenser innovation. Further as we stated, we continue to optimize our manufacturing and converting assets and capability we expect net improved operating efficiencies will provide incremental benefit from where we finished the fourth quarter of 2013. In our forecast, we are currently projecting an unfavorable impact to our results with respect to fiber and other input costs. This is an element of business risk as pressuring areas like wastepaper, impact to our entire fiber basket including wastepaper, manufacturing pulp and [indiscernible] purchases. One increase is expected the matter in which at manifest and in terms of magnitude and exact timing is uncertain. And although we would expect to offset increases in wastepaper with selling prices increases over time, there is a lag at any given point before those offsets will be realized. In addition, the level of wastepaper pricing impacts the competitiveness of pricing international Support category and therefore impacts our overall performance. Our improvement in earnings and cash flow remains on a ramp-up curve. And as indicated in the discussion of the first half impacts, the improvement from the fourth quarter of 2013 to the fourth quarter of 2014 is not linear. We are reaffirming our previous guidance for the fourth quarter of 2014 as we believe, we have a balanced view with respect to the previously discussed macroeconomic risks. We are also holding our expectations for the full year 2014 growth as measured in case of shift to 6%. However, we are revising the lower end of our full year 2014 guidance ranges with respect to EBITDA, EBITDA margins and net earnings per share. In the first quarter we have experienced additional competitiveness in Support products pricing that we believe will continue to pressure first half results. We have also experienced energy-related cost increases due to the extreme cold temperatures. With this as a backdrop, we felt that it was appropriate to adjust the lower end of our full year 2014 guidance from $65 million to $60 million in EBITDA. This results in a full-year EBITDA of $60 million to $70 million in order to reflect a broader range of possible outcomes. Actual results of key assumptions for 2013 and estimates for 2014 include capital spending, but in 2013 totaled $37.5 million. We had expected 2013 cash spending for capital to be approximately $46 million, the difference in spending on projects and process at the end of 2013 that will be carried over to 2014. As a result, 2014 capital spending is expected to be about $35 million. We expect net dispenser spending to be approximately $25 million in 2014. When evaluating free cash flow defined as net cash provided by operating activities, less spending on plant and equipment, please recall that net dispenser spending is included in our net cash provided by operating activities while capital spending is identified separately in our statement of cash flows. For 2013, depreciation and amortization included in continuing operations was $39.8 million and is expected to be about $41 million for this year. Interest expense for the 2013 calendar year was $8.8 million. We expect interest expense will be approximately $8 million in 2014 with interest expense closely approximating interest paid. Well our effective tax rate for financial statement purposes is expected to be about 37% in 2014. We have federal net operating losses on a pre-tax basis of approximately $41 million and the cellulosic biofuels credit carryforward of approximately $13 million that will offset cash taxes paid. The cellulosic biofuels credit utilization period expires at the end of 2015. Non-cash pension expense for continuing operations will be about $2 million to $3 million in 2014 with cash contributions are between $5 million and $7 million. With that, I will turn the call back to Hank. Hank?
Henry C. Newell: Thank you Sherri. 2014 is about delivering a step change in financial performance with 2013 EBITDA of $37 million going to $60 million to $70 million in 2014. Perhaps most important and what will define success in 2014 for Wausau Paper, will be achieving a performance level on the fourth quarter of EBITDA in the $20 million to $24 million range. Our focus will be on delivering volume growth of 6% at targeted margins with growth in our Strategic product categories the driver. We will continue to ramp-up our operations platform across both our papermaking and converting assets and are trending nicely based on fourth quarter performance levels. As we move through 2014, the company will demonstrate increasing free cash flow growth particularly as we move into the second half of the year. And the Company is committed to increasing the return of cash to our shareholders as we deliver growth. Our new ATMOS machine is a flexible towel and tissue asset, producing high-quality conventional and premium base sheets. We’re achieving the expected cost structure and where we expected to be on the startup curve. There is a strong interdependence between growth and our premium products and realizing the full benefit of our investment in the new paper machine, that we expect to be the key element of improvement in 2014. Our converting operations continued to move up the learning curve, we have introduced tremendous change in our converting operations where we are producing new products with new base sheets, our new equipment and with many new people, we are progressing rapidly. Our operations are delivering excellent quality products, which is reflected in the market acceptance of our DublNature brands and this has extended into our EcoSoft brand. The trials of Artisan had made good progress and in fact we are now in the process of building inventory to support the launch. We are beginning to truly demonstrate the flexibility and capability of our new assets. We build significant growth momentum in the second half of 2013 with a successful launch of over 20 new premium products in our DublNature brand. We also saw continued momentum throughout the year from the successful repositioning in terms of both cost and quality of our EcoSoft brand in 2012. We expect 2014 to be equally exciting with the introduction of four new DublNature facial and OptiCore tissue products, eight new Artisan towel products, a new high capacity towel dispenser called Alliance and a new high capacity OptiCore bath tissue dispenser. In summary, let me say, that as a company 100% focused on tissue we are now uniquely positioned to grow and deliver value. We are executing a highly differentiated strategy in the away-from-home market that we expect will continue to deliver above market growth rates and leading margins. We are committed to returning cash to our shareholders over time. As we enter year two of our strategy to build value for our shareholders, we have made significant progress in 2013 with much more to come in 2014 and beyond. We are truly excited about our future. Thank you very much for your support. And I will now turn his call over for Q&A. Perry?
Perry Grueber: Thank you Hank and Sherri. That concludes the formal comment portion of today’s call. Michelle, will you pool for any questions please?
Operator: Certainly. (Operator Instructions) Your first question comes from the line of Mike Roxland of Bank of America. Please go ahead.
Mike Roxland: Good morning. Thanks very much for taking my questions. If I recall correctly, in the last call you mentioned that the company was a little too aggressive rolling out new products resulting in oversaturation of channel inventories. What has occurred since then and have inventories come back down? That’s the first question. And has the company been a little more disciplined in respect to rolling out new products given what occurred in the last quarter?
Henry C. Newell: So Mike I think, first if I recollect from that conversation we communicated that, we were not oversaturated in the market at that point in time about the last call. As we look at how volume has transpired it during the both the third and fourth quarters, our volume has been above the expectations. In the fourth quarter we actually saw a strategic product growth of a little over 5%. So I think the market acceptance from our products has been good, we I think the supply chain is pretty balanced, we’ve continued to see strong orders as we moved through January and actually into February. So I think any of that transition is behind us at this point.
Mike Roxland: Got you, thank you for that. And as an attempt to minimize your production of the Support products given the additional costs associated with running them and now also given the pricing pressure you’re facing?
Henry C. Newell: So as you think about our business and even as it relates to our sales rebates and incentives those are all really oriented towards our Strategic product category growth. And as we talked a little bit about at the end of the third quarter, as we are being successful in growing DublNature and securing new DublNature business we are in fact gaining additional Support product growth and that contributes our margin. I think the other thing to think about is that within our Support product categories now we think about both towel and tissue, over two-thirds of our franchise’s towel where we are seeing the actual competitive intensity is really in the tissue element of our support product categories. So, when we are Support category growth that’s greatly for us and it’s a good thing.
Mike Roxland: Does the Support category has shown pricing pressure. One, where is the pricing pressure is on the towel side we have two types of franchisers locators are on the tissue side, and if it’s on both why not trying to minimize your exposure there given the increasing competitiveness in that particular space?
Henry C. Newell: So our focus is in driver of successors is coming here will be continued demonstration of growth in our Strategic product categories. We are seeing competitive pressures in the tissue element that’s Support product categories is still generates an attractive recon for us so there is no base as to not continue to take that volume. Now, at fourth quarter we did see incentive or rebate levels or we hit thresholds that were really related full year volume but the fundamental growth and performance of the business was solid.
Mike Roxland: Got you and two last questions and I’ll turn it over. Can you just talk to some of the operational issues that you experienced at Harrodsburg and have those being corrected by now?
Henry C. Newell: So I think what’s interesting about the fourth quarter a little bit from an operational standpoint is we were essentially right on forecast, so as we looked at that where we thought we would perform in the fourth quarter ultimately we were right in the range of what we expected. Specifically, as it relates to the tissue machine, the need, we actually did this we took the Yankee grind and the need for Yankee grind in light of the new tissue machine is really is not uncommon. We had a profiling machine that’s really a complex equation that particularly with new technology, take some learnings. You combine that with the rigorous startup in our product development activities trying to artifice the new camera free really creates the conditions where you can create some surface damage on your Yankee. The outage corrected this and coming out of the outage we actually resulted in significantly improved production in November both from the concepts of the quality of the role, the convertibility of that role and the speed of machine. And I think ultimately are ops team made a tremendous call in making a choice to take this machine down in October. And as we move into the new and for the balance of the quarter we actually recovered the costs of that outage and as we move into this year they’re in a much better position in terms of the product quality and machine performance for 2014. So I think it’s the performance of the machine was very much in the normal range that we would expect. We made a choice, I think, that the important thing of ours is $0.5 million negative impact in the fourth quarter, because we took that outage that just along the occurrence from moving into the first quarter here.
Mike Roxland: Got you. And then the last question, I will turn it over. You are targeting $0.01, $0.03 per share that was your outlook vis–à–vis still over the 3Q call or for 4Q. How we came in the breakeven, what was really the primary cost for that miss versus your expectations? Was it higher energy costs, was this competitiveness in terms of the Support products which lowered pricing? What was the key driver of this variation?
Henry C. Newell: So there is two elements that we’re not in our guidance. One is, the much higher overall volume levels we were successful in achieving in the fourth quarter which resulted in higher levels of rebates and incentives, and over and those thresholds are triggered they go back to case one. And the other is, proxy-related advisory services. That’s just were not in our forecast at the levels that we ultimately got. We had backed those two elements we were solidly in our guidance range.
Mike Roxland: Got it. Good look in 2014.
Henry C. Newell: Thanks Mike.
Sherri L. Lemmer: Thank you.
Operator: Okay, thank you. (Operator Instructions) And we have a question from the line of Mark Wilde of Deutsche Bank. Please go ahead.
Mark Wilde: Good morning Hank, good morning Sherri.
Henry C. Newell: Mark.
Sherri L. Lemmer: Hi.
Mark Wilde: First question I had Sherri, I wondered what does the guidance for the coming year assume in terms of both wastepaper costs and then this pricing weakness that you talked about in the Support categories that had continued into the first quarter? What are you assuming is going to become that pricing weakness as we move through the year?
Sherri L. Lemmer: Well I think again we have confidence that our fourth quarter guidance with the risk to our margin assumptions that we have pretty balanced. As we consider our full-year number, the degree of uncertainty that we have in wastepaper volatility and that Support product pricing Mark that you mentioned come [ph] up with the potential pressure for energy costs and proxy and advisory costs really resulted in that range of, a broader range of those full year outcomes. So, again as we go through the year determining the timing of when that wastepaper is going to occur, I think we have a captured in what we have provided for Q4, but that moderately increasing as we move through the year. But it’s really we feel comfortable with where we have Q4 based on that expectation.
Mark Wilde: You mean Q1?
Sherri L. Lemmer: So our guidance for our Q4 has really.
Mark Wilde: Q4 yes, yes, yes. Okay. But just to be clear, so you’re expecting some what would you say gradual ratcheting up in wastepapers we move through the year?
Sherri L. Lemmer: Yes I would say that. As we expect to see wastepaper continuing to pick up as we move through the year and we’ve captured that in our full year and our Q4 guidance.
Mark Wilde: Okay. And is this competitive pricing in the Support categories was just to remain as intense as it is right now? Would that be captured in your guidance as well?
Sherri L. Lemmer: Yes.
Mark Wilde: Okay.
Henry C. Newell: Well Mark, just one thing to think about, I think, if wastepaper prices begin to increase we would expect that that would have a moderating impact on the competitive intensity we are seeing in the Support categories. And if you think about and we would expect to see our average pricing improving more rapidly and regardless of environment we’re expecting to see our average pricing increase and that moderately increasing wastepaper environment kind of offsetting competitive intensity would be the path that would lead us to the higher end of our guidance range.
Mark Wilde: Yes, okay. And I think that’s sensible. And now just kind of the question that Mike was asking I guess what kind of struck me was this, 10%ish volume growth in the Support category first of all just seems likely really, really outsized growth in the tissue business like and far better than, far larger than I’ve ever heard you guys report in the 20 years of covering you and so I’m trying to understand that why did that volume go up so sharply, were people really loading up the channel or what was going on there? And then I just wonder also in the pace of you’re doing about pricing weakness in that category whether you guys really contributed to that?
Henry C. Newell: So I think, first the dynamic we talked about in terms of our growth targets, our growth targets have always been very focused on these Strategic products of our portfolio. And, historically and we talked about those before and we actually would have assumed that we would see some cannibalization of our Support products. What we’ve seen instead of that is in the second half strong Strategic product growth and as customers are making their choice to move their premium product portfolios to us, they’re also moving their Support categories to us. So the level of growth in our Support categories has been outsized relative to our expectations. I don’t think, I think the factors that are contributing to the competitive intensity specifically in the tissue element of Support, is the fact that we have waste, low wastepaper costs and excess tissue capacity. We are not seeing it in our towel categories.
Sherri L. Lemmer: And I think the one thing I would add Mark is that, remember we did a lot of repositioning efforts in 2012 and given the nature of what we’ve accomplished and what we’ve introduced and then the momentum of that business, it’s really an area that before that cost repositioning in 2012 we simply couldn’t compete. So we’ve been able to structure have a better cost, underlying cost structure that gives us the ability to continue to advance along the path of growth.
Mark Wilde: Okay and then I guess I was just because I went through the release last night, I was surprised that the real big volume gains were in the Support categories rather than the Strategic categories that got me a bit by a surprise. And then finally I wanted Hank, just one of the things that does strike me is that it seems like the improvement that you’re assuming for 2014, just so heavily weighted to the backend of the calendar, and I wondered if you just comment on that I mean those kind of the company has had a long history of missing forecast targets and I just, I wonder what kind of setting ourselves up for that because you’re really hanging in a heck of a lot on that last quarter to the year?
Henry C. Newell: Well I think as you look at our historical profile on tissue the third quarter is in a historical model it would have always been the strongest quarter of the year and fourth quarter we’ve been very solid. So, just inherently in our business the second half of the year is a much stronger level of performance in the first half. Now you couple that with the fact that we are improving on a trajectory now so we’re, we’ve got significant operational improvement that you’re beginning to see in the fourth quarter here that will carry through we’re seeing significant improvement in our Strategic mix what will carry through. You get a multiplying effect as you move through the year and it’s what gives us the level of confidence we have in our Q4 outlook.
Mark Wilde: Okay. And just finally, can you just remind us, approximately how much of the management team is kind of compensation or compensation of risk ratio is started to hitting those bogies at the end of the year?
Henry C. Newell: So 80% of compensation is tied to performance.
Mark Wilde: And in particular metrics?
Henry C. Newell: Total shareholder return and return on capital are the biggest elements and cash incentive tied to delivering EPS.
Mark Wilde: Okay, I will turn it over.
Operator: Okay thank you. (Operator Instructions) One moment please. And there are no further questions in queue. Please continue.
Henry C. Newell: Okay, thank you Michelle. We appreciate everyone taking part in today’s discussion. And your interest in Wausau Paper. Thank you very much.
Perry Grueber: Thank you Michelle.
Operator: Okay, thank you. And ladies and gentlemen this conference will be available for a replay after 11 O’clock A.M. today through February 18th at midnight. You may access AT&T Executive Replay System at any time by dialing 1-800-475-6701 entering the access code 316-999, international participants dial 320-365-3844 and again that access is 316-999. And that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.